Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies' Fourth Quarter Fiscal 2016 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded, February 24, 2016. I would like to turn the conference call over to Mr. Ernie Hermann, Chief Executive Officer and President of The TJX Companies, Inc. Please go ahead, sir.
Ernie L. Herrman - Chief Executive Officer, President & Director: Thanks, Gabby. Before we begin, Deb has some opening comments.
Debra McConnell - Senior Vice President, Global Communications: Good morning. The forward-looking statements we'll make today about the company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's SEC filings, including, without limitation, the Form 10-K filed March 31, 2015. Further, these comments and the Q&A that follows are copyrighted today by The TJX Companies. Any recording, retransmission, reproduction or other use of the same for profit or otherwise without prior consent of TJX is prohibited and a violation of United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that the financial results and expectations we'll discuss today are on a continuing operations basis. Also, we have detailed the impact of foreign exchange on our consolidated results in our international divisions in today's press release in the Investor Information section of our website, tjx.com. Reconciliations of the non-GAAP measures we'll discuss today to GAAP measures are included in today's press release or otherwise posted on our website, tjx.com, in the Investor Information section. Thank you. And now, I'll turn it back over to Ernie.
Ernie L. Herrman - Chief Executive Officer, President & Director: Good morning. Joining me and Deb on the call are Carol Meyrowitz and Scott Goldenberg. Before I begin, I'd like to take this opportunity on behalf of myself, our entire management team and our organization to express our sincerest gratitude to Carol. For nine years as CEO and over a long tenure with the company, Carol has led TJX to great success with achievements too numerous to cover on this call. I am delighted that, in her new role as Executive Chairman, Carol and I will continue our 20-plus years of working together. Thank you, Carol.
Carol M. Meyrowitz - Executive Chairman: Thank you.
Ernie L. Herrman - Chief Executive Officer, President & Director: I'd like to start by saying that 2015 was another terrific year for TJX. We surpassed $30 billion in sales, and consolidated comp sales increased a strong 5%, which is well above our plan. We are extremely pleased that the comp was driven entirely by customer traffic. Consumers are loving our stores and shopping as even more frequently. We are convinced we are gaining market share profitably around the world. On an adjusted basis, earnings per share increased 5%, also above our expectations and over a strong 12% increase the prior year. 2015 marks the 20th consecutive year of comp and EPS gains for TJX. In our 39-year history, we have seen only one comp store sales decline. We're also very pleased that we drove merchandise margin increases while offering even more amazing values to our customers. It's important to note that we achieved these results despite significant foreign currency headwinds, as well as reinvesting in the business. Further, we were thrilled that our momentum continued into the fourth quarter. We ended the year with fourth quarter results that significantly exceeded our plans. It's also great to see such consistency in our business with comps hitting 5% to 6% every quarter of the year. Our 2015 performance once again demonstrates the power of our differentiated flexible business model to succeed across many different geographic, economic and retail environments. We were thrilled to expand our global footprint into Austria, the Netherlands and Australia in 2015. So, now, we operate in nine countries across three continents. Looking ahead, I am very excited about the future of TJX. We entered 2016 with terrific momentum, and the year is off to a strong start. We are convinced that we can continue growing our customer base around the world and are pursuing various opportunities to capture market share. To support our goals for growth, we are continuing to make strategic investments in the business. I am also confident that we are making the right investments today that will help us grow to $40 billion and beyond. As always, we have a management team that is passionate about achieving its plans and, more importantly, passionate about striving to surpass them. Before I continue, I'll now turn the call over to Scott to recap our fourth quarter and full year numbers.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Thanks, Ernie, and good morning, everyone. I'll begin with some more details on our full year fiscal 2016 results. Again, we are thrilled that our 5% consolidated comp increase was entirely driven by customer traffic. It was also great to see that customer traffic was the primary driver of the comp increase at each of our divisions. We believe we are gaining share profitably across all geographies. As a reminder, our comp sales exclude e-Commerce. Diluted earnings per share were $3.33, a 5% increase over last year's adjusted $3.16, and exceeded our most recent guidance. It's important to note that our full year EPS growth was negatively impacted by approximately 4% due to foreign currency and transactional foreign exchange and about 4% due to our wage initiative, as well as incremental investments and pension costs. For the full year, consolidated pre-tax profit margin was 11.8%, down 50 basis points versus last year's adjusted 12.3%. Gross profit margin was 28.8%, up 30 basis points versus last year; and merchandise margins were also up. SG&A expense as a percentage of sales was 16.8%, up 70 basis points versus last year's ratio. Now, to our fourth quarter results. Consolidated comps increased 6% over a 4% increase last year and well above our plan. This marks our 28th consecutive quarter of consolidated comp store sales growth. We were very pleased that our fourth quarter comp was also entirely driven by customer traffic. As with the year, traffic was also the primary driver of each division's quarterly comp increase. Diluted earnings per share were $0.99, a 6% increase over – versus last year and also well above our plan. It's important to note that our fourth quarter EPS growth was negatively impacted by approximately 4% due to foreign currency and transactional foreign exchange and about 5% due to our wage initiative as well as incremental investments and pension costs. Consolidated pre-tax profit margins was 11.9%, down 50 basis points versus the prior year and significantly better than we planned. Gross profit margin was 28.7%, up 50 basis points versus last year. This was due to an increase in merchandise margin and strong buying and occupancy leverage on the 6% comp. We are very pleased with our gross margin and merchandise margin increases, despite the significant negative impact from transactional foreign exchange at TJX Canada and TJX International and increased costs associated with moving more units through our supply chain. SG&A expense as a percentage of sales was 16.7%, up 100 basis points versus last year's ratio. This increase was primarily due to our wage initiative, as we had anticipated, as well as contribution to TJX's charitable foundations, higher incentive compensation accruals due to the company's above planned performance and increased supply chain costs. At the end of the fourth quarter, consolidated inventories, on a per store basis, including inventories held in warehouses but excluding inventories -- but excluding in transit and e-commerce inventories, were up 6% on a constant currency basis. We took advantage of some amazing pack-away opportunities during the fourth quarter and ended the year in an excellent inventory position. Now, to recap our fourth quarter performance by division. Marmaxx finished 2016 with its best quarter of the year. Comps grew by a very strong 6% on top of a very solid 3% increase last year. Once again, it was terrific to see that the comp increase was entirely driven by customer traffic. As we had planned, with our merchandising and value strategies, we saw significant increase in transactions and units sold as well as a decrease in average ticket. Apparel, including accessories and home, both had excellent performance, which is nice to see in today's retail environment. Segment profit margin was flat, as Marmaxx's significant merchant margin increased and buying and occupancy leverage offset the expected impact of our wage initiative, higher supply chain cost and investments in e-commerce. We began the new year with great momentum at our largest division. HomeGoods delivered another outstanding quarter. Comps increased 7% over last year's strong 11% growth, and segment profit margin was up 60 basis points. We are very pleased with HomeGoods' strong increase in merchandise margins. The customers clearly love HomeGoods, as we keep growing this premium brand. At TJX Canada, comps grew a phenomenal 14% over a strong 7% increase last year. This marks the fourth consecutive quarter of double-digit comp growth. Adjusted segment profit margin, excluding foreign currency, decreased 140 basis points, primarily due to transactional foreign exchange, as well as higher incentive compensation accruals, due to TJX Canada's above-planned performance. I want to point out that the year-over-year decline in the Canadian dollar had a significant negative impact on this division's merchandise margins. Once again, the efforts that our Canadian organization made to mitigate this currency impact were terrific and highly effective. We are very pleased that all three chains delivered great performance. Now, to our businesses beyond North America. These include our European business and Trade Secret in Australia, which together now comprise TJX International. TJX International's comp growth was 1%. And adjusted segment profit margin, excluding foreign currency, decreased 170 basis points. This was primarily due to investments in new countries and transactional foreign exchange, as well as some deleverage on the 1% comp. While the fourth quarter was softer than we would have liked, we are pleased with the improving comp trends we are seeing in this business. Further, TJX International delivered an excellent year. On our e-commerce sites in the U.S. and UK, we also offered customers a constant flow of gift-giving selections at amazing values throughout the holiday season. We have added thousands of new brands to tjmaxx.com since we launched and plan to continue adding new categories and brands to all of our sites. Now, to our financial strength and shareholder distributions; our business continues to generate excellent cash flows and strong financial returns. In fiscal 2016, free cash flow was $2 billion and ROIC was a strong 22%, one of the highest we have seen in retail, thanks, in large part, due to our disciplined approach to capital allocation. As always, we remain committed to returning cash to our shareholders through our share repurchase and dividend programs, while simultaneously reinvesting in the business for the near and long term. Now, let me turn the call back to Ernie, and I'll recap our first quarter and full year fiscal 2017 guidance at the end of the call.
Ernie L. Herrman - Chief Executive Officer, President & Director: Thanks, Scott. First, I'd like to briefly cover some highlights from the fourth quarter. Again, we were thrilled to end 2015 with such a strong finish. Customer response to our exciting assortments and great values was terrific this holiday selling season, as well as during the post-holiday period. Every year, we work to improve over the year before. I believe that our marketing, in-store initiatives, gift-giving and constant freshness were even better than last year and truly set us apart from other retailers. We believe this drove new shoppers to our stores and encouraged more frequent shopping trips. Also, we liked how we transitioned our stores after the holidays with our stores looking extremely fresh. Now, I'd like to talk about the major strengths that differentiate TJX from so many other retailers. We're convinced that the same elements of our business that differentiate us from other retailers are also key to our continued successful global growth. Further, we believe these elements would be extremely difficult for others to replicate. First, we have a world-class global buying organization that I believe is the best in retail. There are over 1,000 people in our buying organization. And our total merchandising organization, which includes our planning and allocation group, (14:38) is nearly double that size. Our buyers are located in 11 countries across four continents, and we source from a universe that now numbers more than 18,000 vendors in over 100 countries. This is why we see ourselves as a global sourcing machine. Many in our merchandising organization have been with us for multiple decades, and we have dedicated nearly 40 years to cultivating the talent and off-price expertise of our teams as well as improving on our buying processes. Further, we take enormous pride in our strong corporate culture, which I am convinced is a key factor in our recruiting and retaining top talent. Second, our global supply chain and distribution network have been developed and refined over nearly 40 years to support our highly integrated international business and opportunistic buying. There is no off-the-shelf, off-price inventory management software to support a global business model like ours, which is why our proprietary IT systems are designed specifically to handle our off-price buying. Our distribution network can process buys as small as 100 units to over 1 million units from any one of our thousands of vendors in a timely and efficient manner and then allocate that merchandise to the right stores at the right time. We continue to invest in our supply chain ahead of our store growth to ensure that we have sufficient capacity to support new stores, new chains and new countries. Third, we are capitalizing on our global presence. TJX is the only major international off-price apparel and home fashions retailer in the world. We are one of the few major U.S. retailers to have expanded successfully internationally. We are the largest off-price retailer in the U.S. and Canada and remain the only major brick-and-mortar off-price retailer in Europe and Australia. We operate highly-integrated and synergistic businesses across many geographies and have built global teams and international infrastructures over many decades. We see our international depth and expertise as a major advantage, as we continue to expand our value concept around the world. These key strengths allow TJX to be one of the most flexible retailers in the world. Our best-in-class buying organization, combined with our vast vendor universe, allow us to be nimble in the marketplace and capitalize on the best opportunities. The flexibility of our stores and distribution network allow us to respond quickly to changing customer preferences and trends across many different retail and consumer environments around the world. Further, while we offer consumers many different chains and merchandise categories, each of our four major divisions operate on the same off-price business model. We function as one TJX and leverage talent, infrastructure, ideas and expertise across the chains. This is an important advantage when opening new stores, launching new chains, entering new markets or testing new seeds. All of these factors give us great confidence that we can continue our successful, profitable global growth. Further, I believe that it is often underestimated how difficult it would be for other retailers to try and replicate these strengths. These key advantages also underscore our confidence in our ability to gain market share profitably and achieve our long-term goals for growth. Let me take a moment to review our major growth drivers, and there are really three. Our number one initiative remains driving customer traffic and comp sales. We were very pleased with our traffic gains at all divisions in 2015, yet we are convinced that significant opportunity remains to gain market share. We reach an extremely wide demographic, and we like the growth in our customer base across all ages, particularly millennials, across all of our divisions. To attract more new customers, we will continue to leverage our global marketing capabilities. During the holiday season, we again leveraged our tri-branded campaigns across the U.S. and Canada and believe that they helped drive more customers to our stores. In 2016, we are strategically shifting our marketing dollars to spend more in certain markets and geographies to capitalize on our biggest opportunities. We are continuing our integrated marketing approach to engage with shoppers of all ages through television, radio, digital, mobile and social media. To encourage more frequent visits and cross-shopping of our brands, we are growing our successful loyalty programs in the U.S., Canada and the U.K. We also continue to upgrade the shopping experience and plan to remodel about 240 stores across the company in 2016. We were pleased to see our overall customer satisfaction scores increase in 2015, but still see room to become even better on this front. We are confident our wage initiative will help us attract and retain talented store associates. I should note that, while we are always working on improving efficiencies in our business, we haven't taken any customer-facing actions that would diminish the pleasant shopping experience that we want to ensure for our consumers. Importantly, we see e-commerce as another great way to drive customer traffic both online and to our other stores – to our stores. Our second major growth driver is our enormous global store growth potential. As I just discussed, our ability to leverage our global teams' infrastructure and operational expertise are major reasons for our confidence and being able to continue to open stores profitably around the world. With over 3,600 stores today, we see the potential to grow by more than 50% to 5,600 stores long term. To be clear, this reflects the potential we see with our existing chains in our existing countries alone. But beyond this, we believe huge opportunity remains. In North America, we see the potential to add over 1,400 stores. In the U.S., we are far from finished growing our largest and most profitable division. Marmaxx is nearly a $20 billion business and T.J. Maxx and Marshalls each have more than 1,000 stores, yet we are confident meaningful opportunity remains to continue growing both chains. Long term, we see Marmaxx growing to approximately 3,000 stores. At HomeGoods, plenty of white space remains across the U.S. We see this chain expanding to at least 1,000 stores, almost double its existing base. And in Canada, our long-term target is about 500 stores. In Europe, we see the long-term potential to expand to 975 stores, almost double our current base. This reflects the potential we see for T.K. Maxx in our current geographies alone and HomeSense in the U.K., and this is before we consider the growth prospects that we see in other countries. We are pleased with our launches in Austria and in the Netherlands, which underscored our confidence entering into Australia. We see the potential to develop Trade Secret in Australia as similar to how we grew our Canadian business from a five-store chain to that country's leading off-price retailer. Australia has a population about 2/3 the size of Canada's with similar customer demographics. This underscores our confidence in our ability to grow Trade Secret to be at least a 124 – 125-store chain. Clearly, this number could be conservative and it reflects just the potential we see in the early days of owning this business. Before I wrap up on store growth, I want to say that we are extremely pleased to have grown our store base by 185 stores for a strong 5% in fiscal 2016. In addition to being at the upper end of our 4% to 5% range for the last several years, we plan to continue at this pace in fiscal 2017. It also feels great to say that even in today's volatile retail environment, we closed only one store last year. That's on a store base of over 3600 stores. All of this speaks to the fundamental strength of our business, our disciplined approach to real estate and our decades of operating expertise in the U.S. and internationally. I should note that while we are opportunistic in our real estate strategies as well and see volatility in the marketplace as an advantage for our business. The third major growth driver is new seeds and innovation. We are constantly testing new seeds and ideas across the company that could reap tremendous benefits for the future. We are very happy with the early reads in our new Sierra Trading Post stores, and we would be thrilled for STP to eventually become a fourth major chain in the U.S. and Canada. Also, our successful expansion of T.K. Maxx into Austria and the Netherlands further demonstrates that our value proposition can work in many other European markets. Okay. I'll wrap with our outlook for 2016. We are delighted with the great momentum in the business and our healthy start to the year. Our business is very strong, and we have many initiatives underway to drive sales and traffic. Our plan for earnings per share growth this year reflects the expected negative impact due to foreign currency and our wage initiative. In addition, investing in initiatives to gain market share and to strengthen our leadership positions around the world remains a top priority. We are committed to carefully balancing our growth and investments, and we remain disciplined in our approach. In 2016, we plan to continue investing in our stores, talent, supply chain, IT and new seeds. Our strategy is to invest ahead of our growth, and we are confident that we are making the right investments today that will give us a strong foundation for the future. Importantly, we are investing in initiatives in which we have decades of knowledge and expertise. All of this gives us great confidence that our investment strategies will be successful. We see many exciting opportunities to expand TJX, both domestically and internationally. We are confident that these investments we are making today will strongly position us to reach the next level of growth. As always, we are laser-focused on beating our plans. I could not be more excited about the future of TJX. This is a great company, and I am confident we will continue to deliver successful growth for many years to come. Now, I'll turn the call over to Scott to go through our guidance. Then, we'll open it up for questions.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Thanks, Ernie. Now, to fiscal 2017 guidance, beginning with the full year. We expect earnings per share to be in the range of $3.29 to $3.38, which would be down 1% to up 2% versus $3.33 in fiscal 2016. As Ernie mentioned, similar to last year, in fiscal 2017, we are planning our earnings per share to reflect the negative impact from a couple of factors. First, similar to last year, we expect foreign currency and transactional foreign exchange to negatively impact fiscal 2017 EPS growth by approximately 4%. Again, this year, it's primarily the result of the dramatic decline in the Canadian dollar and British pound rates versus the prior year. Of course, it's important to remember that FX could moderate or benefit us in the future. Secondly, as we detailed in our third quarter earnings call, we are assuming that our wage initiative will have a negative impact of about 4% to fiscal 2017 EPS growth. As always, we are extremely focused on controlling cost and striving to succeed with our plans. Our EPS guidance assumes consolidated sales in the $32.2 to $32.5 billion range, a 4% to 5% increase over the prior year. This guidance assumes a 1% negative impact to reported revenue due to translational FX. We are assuming a 1% to 2% comp increase on a consolidated basis. We expect pre-tax profit margin to be in the range of 10.9% to 11.1% versus 11.8% in fiscal 2016. We are planning gross profit margin to be in the range of 28.3% to 28.5% versus 28.8% last year. In terms of the pressure we see currency having on our mark-on and merchandise margins at TJX Canada and TJX International, we expect the negative impact to be even larger than last year. Excluding the currency headwind, we would expect the consolidated underlying merchandise margin to be flat to slightly up this year versus last year. We're planning SG&A as a percentage of sales to be in the range of 17.2% to 17.3% versus 16.8% last year, primarily due to our wage initiative. For modeling purposes, we're anticipating a tax rate of 38.2%, net interest expense of about $54 million and a weighted average share count of approximately 662 million. Now, to our full year guidance by division. At Marmaxx, we are planning a comp growth of 1% to 2% on sales of $20.5 billion to $20.7 billion and segment profit margin in the range of 13.6% to 13.8%. As a reminder, in fiscal 2017, we are planning Marmaxx's average ticket lower in the first half of the year and essentially flat for the second half. At HomeGoods, we expect comp increases – comps to increase 3% to 4% on sales of $4.2 billion to $4.3 billion and segment profit margin to be in the range of 12.9% to 13.1%. For TJX Canada, we are planning a comp increase of 3% to 4% on sales of $2.9 billion and adjusted segment profit margin excluding foreign currency to be in the range of 12.1% to 12.3%. At TJX International, we're expecting a comp increase of 2% to 3% on sales of $4.6 billion and adjusted pre-tax margin excluding foreign currency to be in the range of 5.6% to 5.8%. Now, to Q1 guidance. We expect earnings per share to be in the range of $0.68 to $0.70 versus last year's $0.69 per share. This guidance assumes an expected negative impact to EPS growth of approximately 2% due to foreign currency and transactional foreign exchange and about 3% due to our wage initiative. We're modeling first quarter consolidated sales in the $7.2 billion to $7.3 billion range. This guidance assumes a 1% negative impact to reported revenue due to translational FX. For comp store sales, we're assuming growth in the 2% to 3% range on both a consolidated basis and at Marmaxx. First quarter pre-tax profit margin is planned in the 10.2% to 10.4% range versus 11.1% the prior year. We're anticipating first quarter gross profit margin to be in the range of 28.2% to 28.3%, flat to down 10 basis points versus the prior year. We're expecting SG&A as a percentage of sales to be in the 17.8% to 17.9% range versus 17.0% last year. For modeling purposes, we're anticipating a tax rate of 38.4%, net interest expense of about $13 million and a weighted average share count of approximately 669 million. It's important to remember that our guidance for the first quarter and full year assumes that currency exchange rates will remain unchanged from the levels at the beginning of the first quarter. Moving to our store growth plans for fiscal 2017. We plan to add approximately 195 new stores, which would bring our year-end total to about 3,809 stores. This represents store growth of approximately 5% and is at the upper end of our range for the last several years. I want to point out that our plans this year assume no store closings across our entire global store base. Beginning with the U.S., our plans call for us to open about 60 additional stores at Marmaxx and 50 more stores at HomeGoods. We also plan to open about five additional Sierra Trading Post stores this year. In Canada, we plan to add about 30 new stores. This reflects the opportunities we see to further expand winners into rural markets as well as our nationwide opportunities for Marshalls. In Europe, we plan to continue our significant pace of store growth, opening approximately 50 stores this year. This includes our plans to continue expanding into Austria and the Netherlands. I'll wrap up with our financial strength and stability, which clearly gives us tremendous confidence. In fiscal 2017, we plan to continue our balanced approach to the use of cash. With our increased investments to gain share and support our growth initiatives, we're planning for capital spending to increase to approximately $1.1 billion. In fiscal 2017, we expect that the Board of Directors will increase our quarterly dividend by 24% on top of our 20% increase last year. This would mark our 20th consecutive year of dividend increases. We're planning to buy back $1.5 billion to $2.0 billion of TJX stock. Even with this level of shareholder distributions, we still plan to end fiscal 2017 with $1.7 billion to $2 billion in cash and short-term investments, which points to our significant financial flexibility. Now, we are happy to take your questions. To keep the call on schedule, we're going to continue to ask you to please limit your questions to one per person. Thanks. And now, we will open it up to questions.
Operator: Thank you. We will now begin the question-and-answer session. Our first question comes from the line Omar Saad. Sir, your line is open.
Omar Saad - Evercore ISI: Yes. It's Omar Saad at Evercore ISI. Thanks for taking my questions. Great quarter, guys. Wanted to dive in on the gross margin line a little bit deeper. Ernie and Scott, the transactional piece sounds a little bit bigger than perhaps we were thinking about it. I had been under the impression, in the European market, you buy in pounds and euros, but maybe Canada is different. And help me think about the potential to perhaps use price increase or mix as a way to offset the transactional impact, something that some other companies in the apparel space are using.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Well, first, I'll just give you a bit of the breakdown there. The components of the 4%, Omar, that we're talking about next year are largely split between translational, which is just taking the current British pound and the Canadian dollar with what averages we actually incurred last year. The rest of that is just, again, the drop-off of the currency that we've seen in both the British pound and Canadian dollar. And unfortunately, or fortunately for us, most of our purchases have not been made, so they're going to be subject now to this lower Canadian dollar. If we had bought out, like other chains, you would probably have less of an impact. But with a big drop-off, you're still going to have a drop-off that at this point is a bit more than last year. I'll now turn it over to Ernie.
Ernie L. Herrman - Chief Executive Officer, President & Director: Yeah, Omar, a good question. What happens on that front – by the way, maybe adjusting retails would make sense if we saw others doing that. We haven't experienced that to that degree. And our number one strategy, as you can see, overall, has been to gain market share. So, we're on this mission to continue to offer the outrageous value and not being the first one to try to up the retail. So, we've been successful of recent by ensuring our value is the sharpest out there. So, we do not want to mess with that. And even though we're getting hit on the buying of the goods in U.S. dollars with the Canadian dollar translation, we still haven't moved our values. And I believe, if you'll look at our Canadian comps, it's helping us gain significant market share actually in that market. So, right now, that's the strategy that we're focused on.
Omar Saad - Evercore ISI: Thanks. That makes a lot of sense, but just, Scott, to be clear, the Canadian market – you're buying in Canadian dollars for the Canadian market. But in the U.K., are you buying in British pounds, the cost of goods?
Ernie L. Herrman - Chief Executive Officer, President & Director: So, Omar, what it is – actually, in both markets we buy certain percentage of the mix. And so, in Canada, and I think we've been public on this, we buy about half the mix in U.S. dollars and the other half is not. It's Canadian bought. So, that's still a big chunk, as you can imagine.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: And then, in Europe, we buy...
Ernie L. Herrman - Chief Executive Officer, President & Director: Smaller, smaller...
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Yeah, we – right. About half of our goods are bought, let's just say, between U.S. dollars and euro and then...
Ernie L. Herrman - Chief Executive Officer, President & Director: Right.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: That's about half-split between – of that 50% between the U.S. dollar and the euro.
Ernie L. Herrman - Chief Executive Officer, President & Director: Right.
Omar Saad - Evercore ISI: Thank you. That's really helpful. Good luck, guys.
Ernie L. Herrman - Chief Executive Officer, President & Director: Thank you.
Operator: Thank you. Your next question comes from the line of Richard Jaffe. Sir, your line is open.
Richard Jaffe - Stifel, Nicolaus & Co., Inc.: Thanks very much, guys, and really, congratulations on a very strong quarter. I guess, a two-part question; one is, the traffic strength has been remarkable. I'm wondering, what are the levers you're pulling or what is the source of the success there, marketing, direct mail, the e-commerce, the effort we've seen in the U.S. And then, if you could just comment briefly on the decrease in ticket at Marmaxx and if it's the same at each division.
Ernie L. Herrman - Chief Executive Officer, President & Director: Okay, Richard. So, let's start at the top there. In terms of the traffic, first of all, there are a lot of levers being pulled, just as you mentioned. Marketing – it's never one thing. Obviously, we won't give any specific breakdowns on it, but marketing is a play. We've been very happy, as you can see, and you witnessed some of it. I'm sure, some of the creative we've had out there like our tri-brand campaign at holiday and we like what we're hitting out there with – for this first quarter coming up. Our loyalty programs have been strong, so also very happy with that. I would tell you one of the key drivers, though, still, especially in a business like ours, which has so much traffic and frequency of shopping, is that we've been executing the model, which is to deliver great goods at exciting values. And we've been going after, clearly, these brands and quality and fashion at retails that, in some cases, are obviously lower. That's a piece of why the average ticket had dropped, so to your question there. By the way, your other part of your question, with the average ticket drop, we've had a little bit of it in the other divisions, but Marmaxx has really been more or so the division that has experienced more of it. It's not as big a swing in other places in the corporation. But the traffic, we've been happy with it because we feel like we're working on all fronts. And even at this point in time, the amount of branded pack-away opportunities that have existed out there has really allowed us to position ourselves going into the new year, we think, to continue to help with the traffic pull.
Richard Jaffe - Stifel, Nicolaus & Co., Inc.: How much is that pack-away?
Ernie L. Herrman - Chief Executive Officer, President & Director: We cannot give you that number. That is a good question. If you'd like to, maybe you'd like to ask Carol to see if she'd...
Carol M. Meyrowitz - Executive Chairman: Yeah, you'll get that out of me.
Unknown Speaker: Thanks, Carol.
Richard Jaffe - Stifel, Nicolaus & Co., Inc.: Thank you very much.
Ernie L. Herrman - Chief Executive Officer, President & Director: You're welcome.
Operator: Thank you. The next question comes from the line of Kimberly Greenberger. Ma'am, your line is open.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thanks so much. I was wondering – Scott, you talked about rising supply chain costs. Is there -- can you just put some numbers around that? Are supply chain costs simply increasing because TJX volumes continue to grow quarter after quarter and year after year? Or is there some deleveraging happening within the supply chain? And I'm wondering if you have any initiative in 2016 or 2017 on the supply chain side. Thanks so much.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Yeah. The biggest piece of the supply chain cost than last year and will be more in first half-oriented this year relate to the lower average retail at Marmaxx and the cost – moving more units through – moving through our networks. So, we would expect that piece of that to moderate substantially in the back half at the moment. The other piece, frankly, relates to – we did not plan, going back a few years ago, the 7% to 8% comps that we've experienced at HomeGoods, the double-digit comp increase that we've had at Canada, thereby necessitating really more of a timing moving forward some of the needs for our supply chain infrastructure. And even a little bit of that at Marmaxx, given the lower average retail. So, this is more of a timing over the next year or two years, where we continue to have those incremental costs and we would see that moderate over time.
Ernie L. Herrman - Chief Executive Officer, President & Director: And at the same time, adding into that, we have, as you've seen in the plans, we've upped the amount of HomeGoods new store openings, which is also in addition to our – obviously, our comps, is adding to additional capacity needs because we're very bullish on the future of our store openings with HomeGoods.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: All high-class problems. Thanks so much, and congratulations on a great year.
Ernie L. Herrman - Chief Executive Officer, President & Director: Thank you.
Operator: Thank you. The next question comes from the line of Matthew Boss. Sir, your line is open.
Matthew Robert Boss - JPMorgan Securities LLC: Yeah. Hey, congrats on a great quarter, guys.
Ernie L. Herrman - Chief Executive Officer, President & Director: Thank you.
Matthew Robert Boss - JPMorgan Securities LLC: So, as we think about SG&A, if you excluded the wage investment this year, would the comp leverage point in 2016 still be around that 2% hurdle? And then, just as we think about the investment opportunities, how would you rank them this year and next between international, systems, e-commerce? Clearly, a lot of different ways you guys can take the investments. And then, finally just any color on your current business post holiday, I think, would be really helpful, just given all the disruption from some of your competitors.
Ernie L. Herrman - Chief Executive Officer, President & Director: Matthew, I will – let me just start with some of the color. We'll let Scott speak to the SG&A. That's in his wheelhouse, so to speak. On the investing, first of all, we do what we think makes sense in each area. Clearly, we look at each independently. Like, international, we look at there versus systems versus e-commerce. We look at a strategy independently of each and decide what we think is the right long-term and the appropriate amount. So, I'd tell you on our e-commerce business, we've discussed this before, it's a relatively small piece of our business and we are taking an approach there of investing in a very methodical way and a careful way. Having said that, we're very happy with the business where it is today. We just will – we will keep that in ratio to the benefit and where we think we are headed with that. In systems, there's certainly a maintenance side to that and a part of running the business that we are cognizant of. And in international, clearly, you can tell from what we talked about in the script, that is a key focus for us and we have shown to make our model work whenever we replicate our model. Wherever we go, in fact, as I believe I mentioned, in Australia, we are pretty happy with our early indicators there going in fairly recently and already experiencing, I think, some pretty good success. So, I think, we can't give you specifics by the different investments. We would tell you they're all long-term oriented and they're all doing what makes sense for the business. In terms of color post holiday, also, as we mentioned, we're feeling very bullish, I would say, starting the new year off strong and that's across many categories. Yes, there are plentiful opportunities in the market, as we talked about, going back at the last two quarter calls. I think Carol and I both discussed that with you in the last two quarters, but nothing has really changed in the environment out there. In fact, there just continues to be a lot of opportunities. If anything, we're at one of those high points of taking advantage of pack-aways, but still having to control our merchants to make sure that we don't buy too much actually because there's so much to choose from. So, we're feeling really, really strong about the positioning post holiday. The liquidity is in a good position. That is feeling healthy. And I guess, that's that. And I will ask Scott to jump in on the SG&A.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Yeah. I'll just for – won't give much more color on the investment. But our capital budget increase over last year is pretty similar when you talk about the new stores, renovations, as Ernie talked about earlier. And the biggest incremental piece of our increase over last year, frankly, relates to timing of some spend between fiscal 2016 and fiscal 2017. And then, as we talked about, just the cost related to the new distribution centers. Moving to the SG&A, the comp breakeven is closer to – is a solid 3%. It used to be a bit lower, but more having to do with the – by the way, this is going back several years, with the significant opportunities that were at that point in terms of cost efficiencies and merchandise – lower-lying fruit on merchandise inventories as we were bringing down substantially our inventories. The past – last year, and I would say still, certainly, with the wage piece and a little bit with the average ticket, the incremental costs obviously are weighing on you because of the wage increases and what the average retail do are mitigating a bit of what that would be on your flow-through. So, a solid 3%, excluding what would be the – I would just say the wage increase.
Matthew Robert Boss - JPMorgan Securities LLC: Okay. Great. Best of luck, guys.
Ernie L. Herrman - Chief Executive Officer, President & Director: Matt, thank you.
Operator: Thank you. Your next question comes from the line of Paul Lejuez. Sir, your line is open.
Paul Lejuez - Citigroup Global Markets, Inc. (Broker): Hey. Thanks, guys. On the Trade Secret business, is that currently losing money? If it is, could you share with us how much in 2015 and maybe how much in 2016? And just thinking about now that you have the Australian business, does that change your pack-away strategy at all? Just given seasons are opposite, might you use less pack-away in the North American business, maybe ship some of the goods down there? I'm just wondering, obviously, related to that, does it maybe change your open-to-buy here in North America? Thanks.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: So, Paul, I'm not going to give a lot of color, But clearly, in the fourth quarter and the early part of this year, the Trade Secret acquisition will be a large portion of the decrease in the TJX International and a relatively – an impact but a relatively small impact over the course of the year for TJX in total.
Ernie L. Herrman - Chief Executive Officer, President & Director: Paul, on the – on your merchandise, really, mix and opportunity question there, it's – which by the way is a great question because we – one of the benefits we've liked about it is we have been able to bob and weave, so to speak, the way you have just described it. So, we're able to take things that are a little out of season here and go there with it. Now, you have to keep in mind, we're dealing with 35 stores versus billions right? So, it's not a major swing impact for, like, the Marmaxx guys or the home businesses here. But there is a strong benefit for the new Australian business for Trade Secret because they're able to take advantage, to your point, of the off-season goods. It becomes not a pack-away, it becomes an in-season use there. And there's going to be some benefit additionally in terms of reading some trends on a certain fashion item that we'll be able to go ahead of it there, like we're able to do with our down stores (49:02) here as well. But even there, a little earlier, that will give us some reads actually on some fashion items ahead of the curve, so we can maybe take advantage of that back here. So, a great question, yeah. And we're happy – again, as I said before, very happy with we have – what we've already done with that and we have some great people working there. We have one senior executive that, and I think we talked about this before, from our Canada division that has relocated there as well as a handful of other TJX associates. So, we are really TJX-sizing that business rather quickly. And already – and you guys are familiar with how we pride ourselves on turning fast to create the treasure hunt. That division is already turning significantly faster than it did last year with a huge reduction in inventory. So, all good signs and I think the subject you brought up about the way we'll buy it will just help that. That will be another benefit in the future.
Paul Lejuez - Citigroup Global Markets, Inc. (Broker): Great. Thanks and good luck.
Ernie L. Herrman - Chief Executive Officer, President & Director: Welcome.
Operator: Thank you. Our next question is from the line of Stephen Grambling. Sir, your line is open.
Stephen Grambling - Goldman Sachs & Co.: Hey, good morning. I have a bit of a big picture question and one follow-up, if I can. We often hear pushback from investors on how big off-price can be and if it really needs full price, and this quarter seems to alleviate those concerns. But can you give us any thoughts you have on that relationship between the full-price and the off-price, how that might be changing any quantification of how big the off-price market should be or can be?
Ernie L. Herrman - Chief Executive Officer, President & Director: So, Stephen, obviously, I guess, you would say – in a big, big picture, you'd say you're asking a group of people that are maybe not totally objective on this because we would say off-price can continue to get bigger and bigger and bigger, and we are not as high on the full-price business for a reason. I think, in the environment that we're in right now, by the way, I think the value of off-price business still plays better and some of the results that come out there, I think that will validate that. The reason we – if you look – actually, if you look at our store growth that we've laid out, that tells you how bullish we are and then if you look at, I think some of the other reports that have been out recently over the last couple of months on other types of retail that do not have store growth going the other way, so to speak, I think that would tell you that we believe the off-price is the big opportunity. And we just never – sometimes there's a concern, there's going to be a lack of goods as we continue to growing out all these stores. It just, as you know – I think I said it like 20 minutes ago. We actually have to hold the merchants back still. There's so much merchandise out there. We've never not had it be that way. It goes in waves, sometimes a little more than others. Yes, right now, it's a little bit more of that mode, but even when it cuts back a little, there's still more goods than we can take in. So, we're just bullish on this model. We can't speak to, really, nor can the team speak to really any other retail model as well as we can this one, but we're very comfortable and confident where the potential lies in TJX and growth here.
Stephen Grambling - Goldman Sachs & Co.: Fair enough. And as a follow-up, you had outlined, I believe, it was a 10% to 13% EPS growth algorithm at the Analyst Day back in 2013. Is that still the right way to think about the long-term growth ex-FX and maybe once wage hikes normalize?
Ernie L. Herrman - Chief Executive Officer, President & Director: Well, Paul (sic) [Steve], we aren't really providing today our long-term EPS model because there are just a few factors impacting our growth. The first one is clearly the foreign exchange issue has been in flux, by the way. Some day that could go the other way and actually benefit us. But right now, that's been in flux, as we just talked about. Secondly, there's a negative impact from our wage initiative, which Scott referred to. And it's bigger in FY 2017 that we're entering. We expect it, by the way, in FY 2018 to go back to 2016 levels, but it's still significant. And the other, again, unknown there or a bit in flux is that we could be further impacted if additional cities, states or countries increase their minimum wage. So, that, again, hits us there potentially, but we don't know by how much. And then, lastly, we have our investments to fuel our future growth. And these investments, by the way, as I said before, these are the right things to do. And two of the key components there are building our supply chain earlier, because we've had this high-class problem of growing faster than we planned on, and our systems investments. And having said all that, we are so confident at TJX in our long-term vision for growth. Yeah, we're not giving you that long-term model today, but our business is so fundamentally healthy. Our traffic gains in FY 2016 and our momentum entering into FY 2017 are so strong. We're just building. Talent for the future is another thing we're after, and we are making long term investments where we think they make sense. So, hopefully that helps you.
Stephen Grambling - Goldman Sachs & Co.: That's helpful, thanks. Best of luck this year.
Operator: Thank you. Our next question comes from the line of Lorraine Hutchinson. Ma'am, your line is open.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thanks. Good morning. I wanted to follow up on the guidance for flat ticket in the second half. Is this just a matter of lapping last year's initiatives? And is there an opportunity to continue to sharpen the value proposition for customers as we move through the year?
Ernie L. Herrman - Chief Executive Officer, President & Director: Lorraine, it's funny. We talk about this quite a bit internally here. And so, we would say we expect it to moderate second quarter of next year. You're exactly accurate. Part of that was a mix component, if you remember. There were really two facets. One, buying, because of the nature of the environment right now, buying the same goods for less. But, then you have the other half of the component, which was really just we juggled some of the mixes, and the penetrations of certain mixes with lower ticket went up. So, it created a mix content issue. To your question, we would think that's going to happen. The only thing I would tell you is we have bought so little of that time period at this point because we're so opportunistic that we have so much open-to-buy for the second quarter that we could end up, yes, we could end up slightly down in ticket again. I doubt it would be to the degree that we have had it last year over the year before, but it could be down a few points. It's possible because we don't want to predict. One of the best parts of this business is when we have significant open-to-buy, we don't feel a need to have to call it today on where we could end up then. We want to go with the best values that are out there.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Great. And then, can you talk about any trends at HomeGoods in terms of ticket? Have those been up or down over the past couple of years?
Ernie L. Herrman - Chief Executive Officer, President & Director: We don't really talk about that. It's been kind of uneventful, I would say. And ticket has not been a component of that business. They are just doing so many other things that are driving the business clearly. And we're just happy with the business because of all the execution on the other fronts. If you walk in there, as you know, it's one of our – I would say our most impulsive mix store – it's difficult if you're a customer to walk in and not spend $200. I guess that's the way we like to describe it. Because there's so much exciting impulse merchandise there. So, it's really less of, like, a ticket issue there and more about the ever-changing – and I think you guys are aware, Lorraine, I'm sure you heard from us about how fast we turn HomeGoods, right? It is our fastest turning business. So, I think we're getting a customer there that not only is it impulsive to begin with, she could go back a week and a half later and it's different again. So, we're excited about it.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Well, thank you.
Ernie L. Herrman - Chief Executive Officer, President & Director: You're welcome.
Operator: Thank you. And our last question comes from the line of Mike Baker. Sir, your line is open.
Mike Baker - Deutsche Bank Securities, Inc.: Thanks. I'll finish up by asking about the competitive environment relative to department stores and promotions. We know that they were pretty heavy in the inventory and pretty promotional because of the warm weather earlier in the winter. So, did you see that? How did you work against that? But more importantly, are you seeing any change in the promotional environment? Presumably, department stores have started to work through some of that inventory, and the weather has gotten a little bit more seasonal in some areas. So, are you seeing less promotional competitive pressures out there?
Ernie L. Herrman - Chief Executive Officer, President & Director: Mike, we haven't. I have to tell you, I have seen no (58:23) major shift of recent. Yeah, I mean, right now, you see less relative to fourth quarter because that's the nature of the time period when you're transitioning into the new season. So, yes, there's less right now than there was before. However, if you ask me how does it compare this year to last year for department stores, I could not answer that. We try to kind of focus on what we're feeling here. What we feel in general is an environment of, again, a lot of availability of merchandise. And so, we don't know where that – some of it's department stores, some of it's specialty stores, some of it's other types of stores. So, that's really our only barometer. In terms of their promotional activity, again, not sure. We do see their ticket actually declining is our perception. We see – I would say not declining, but we see their ticket kind of staying into the zone than it's been to last year. Kind of very similar, like, we don't see any major shifts, I guess, in what they're carrying.
Mike Baker - Deutsche Bank Securities, Inc.: Okay, understood. One more, if I could. If – I think I have these numbers right. When you jump out the wage in the currency, your earnings growth last year at this time, you talked about 9% to 12%. This year, if you add back the 8% points from those things, it's more like 7% to 11%. So, is the lower expected growth excluding all those two one-time things? Is it because of the investments you're making or is there something else in there?
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Well, the primary difference – or one of the biggest difference is the wage versus last year. But also, we don't have as high a level of merchandise margin increase also compared to last year. So, we – as we talked about, we still have a merchandise margin that's planned up excluding the currency. So – but we do – it's not planned at the levels that – higher levels that we had on the plan last year.
Mike Baker - Deutsche Bank Securities, Inc.: Okay...
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Again, comparable 1% to 2% comp that we had last year.
Mike Baker - Deutsche Bank Securities, Inc.: Right, right, of course.
Scott Goldenberg - Senior Executive Vice President & Chief Financial Officer: Those would be the two of the bigger components.
Ernie L. Herrman - Chief Executive Officer, President & Director: And, Mike, I would like to reiterate, and I think we say this often, that we always plan conservatively. And as you know, our intention is always to beat these plans. So, we are clearly putting together what we believe is the right plan to put together. But we – our intention is to certainly surpass the plan.
Mike Baker - Deutsche Bank Securities, Inc.: Understood. Appreciate that. Thank you.
Ernie L. Herrman - Chief Executive Officer, President & Director: Thank you.
Ernie L. Herrman - Chief Executive Officer, President & Director: I think that was our last question. We look forward to having the opportunity to talk with you guys again after the first quarter. Thank you, all, for your time today.